Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Nordson Corporation's Fourth Quarter and Fiscal Year 2020 Conference Call. At this time, all participant lines are on mute. Please be advised that today's conference is being recorded. After the speaker's presentation, there will be a question-and-answer session.  I would now like to then the call over to your speaker today, Lara Mahoney. Please go ahead.
Lara Mahoney: Thank you. Good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communication. I'm here with Sundaram Nagarajan, our President and CEO; and Joseph Kelley, Executive Vice President and CFO. We welcome you to our conference call today, Wednesday, December 16, 2020, to report Nordson's fiscal year 2020 fourth quarter and full-year results.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson's fiscal 2020 fourth quarter and full-year conference call. In this unprecedented fiscal year we did not just weather a challenging macro environment, we advanced our long-term strategy and achieved solid financial results. First, I want to thank our Nordson employees for their flexibility, resilience, and commitment as we navigated fiscal 2020. From the beginning of this pandemic, our leadership team has worked together to protect the health and safety of our employees and respond to the needs of our customers. Representatives from our global teams came together to share best practices and lessons learned as COVID-19 spanned the globe. We implemented new protocols of social distancing and face coverage, as well as regular cleaning and temperature checks, all of which continues to this day. By protecting our employees we were able to offer uninterrupted service to our customers, many of whom were deemed to support critical infrastructure. Nordson products serve a very diverse set of end markets, including medical, electronics, consumer non-durables, and general industrial. This diversity helped us drive the relative stability of our results. We have also stayed invested in our direct sales application and service model and committed to the innovation in our precision technologies. For the full-year, sales decreased only 3% compared to prior year, which is commendable in this environment.
Joe Kelley: Thank you, Naga, and good morning to everyone. As Lara mentioned, we have provided slides that complement the narrative during today's earnings call. On slide number five, you see fourth quarter 2020 sales were $559 million, a decrease of 5% compared to the prior year's fourth quarter sales of $585 million. The decrease was primarily related to organic volume, offset by favorable currency and benefits from the Fluortek and vivaMOS acquisitions. Test and inspection product lines were solid again this quarter, and we continue to see growth in our product lines serving medical end markets. Sales decline in the quarter was largely driven by weakness in the industrial and automotive end markets.
Sundaram Nagarajan: Thank you, Joe. Let's turn to slide 10. We're well positioned going into fiscal 2021. We have been operating safely and efficiently in this pandemic environment. We also have found creative ways to connect with our customers, whether it is virtual training and tech support or safely distance onsite product implementations. For example, already this team recently participated in the Annual PackExpo, which is the largest North American packaging trade show. It rose to the challenge of this virtual event showcasing our recent innovation through virtual demonstrations and videos. No matter the environment, Nordson employees remain focused on innovation and delivering on the needs of our customers. I'm also pleased with the engagement of the team in adopting our MDS next growth framework. This is truly about making a strong Nordson even stronger. Fundamental for this framework is to select and invest in the best profitable growth opportunities. This data-driven, customer and product segmentation approach, which we refer to as "Strategic discipline," identifies where we create the greatest value for our customers. It is the new capability that our team is learning. Using a data-driven segmentation approach in a consistent and disciplined way, division leaders across Nordson have been working to define their strategic business priorities. This framework empowers our division leaders to take action on the data and focus on the areas where we win. Our decision to divest the screws and barrels product line was based on critical insights gained from this data-driven segmentation approach. Realigning our portfolio is another step forward in positioning Nordson for long-term profitable growth. This divestiture will improve earnings on a go-forward basis. It also gives our PPS leaders more time and energy to focus their resources on their differentiated and profitable product lines. This action exemplifies the power of NBS Next; identify our business's core, simplify the areas that distract you from focusing and growing with your core strengths. With consistent deployment of a data-driven growth framework will complement Nordson's great strengths of innovation, customer passion and culture. We'll continue to strengthen our newer capability by unleashing an entrepreneurial mindset at the division level while also building deep and diverse winning teams.
Operator: Thank you. At this time, we will be conducting a question-and-answer session.  Your first question comes from the line of Allison Poliniak with Wells Fargo. Allison, your line is open.
Allison Poliniak: Great, thanks. Good morning, guys. Within the 5% order rate for this past couple of weeks, is there a noted vertical that's driving that or is it fairly broad-based here?
Sundaram Nagarajan: Yes, Allison, good morning. Thank you for your question. Let's just maybe talk in terms of specific end markets, that's probably the better way to answer that question. So, if you think about our consumer nondurable business, what you're really finding is this is a recession-resilient end market for us, food and beverage packaging. Adhesives have been trending slightly up, and so our expectations are this is a better growth than what we have seen in some time. In the medical business, order rates remained stable. It still remains a dynamic environment. Remember that there are parts of our medical business that is certainly impacted by elective surgeries or selective surgeries. But we also have fluid component parts of our business that has been serving biopharma end markets, and so -- and disposable single-use plastics as well. So that part of it is doing really well. So, overall medical is stable, still continuing to grow. In electronics, I would tell the test and inspection business is really doing extremely well there, driven by advanced components in semiconductors, camera modules. In the quarter, we experienced double-digit growth, I would -- my expectations would be slightly lesser than that, but certainly high-single digits is sort of where this is trending. Our industrial business, I will tell you is challenged, but things are starting to look up. We expect some recovery in the first quarter. Our OEM businesses are moderating and automotive is a small part of the company. So, it's not one single vertical but differing rates of growth and trends that are trending up based on end market.
Allison Poliniak: Got it, that's helpful. And then just touching on the divestiture, I know your comment about it not necessarily being quoted  Nordson longer term. Is there somewhat of an impact, a mix impact that you guys are thinking about when looking at these businesses as well in terms of the long-term profitability of the company, or is that sort of just as an insight at this point?
Sundaram Nagarajan: Joe, do you want to take this one?
Joe Kelley: Yes. So, when you think about the divestiture, as Naga mentioned in his script, this divestiture which we hope to conclude, I would say at the end of Q1 or early Q2, it will improve the ongoing earnings of Nordson, and specifically I guess to your question, the IPS segment, and will also improve therefore the profitability profile. But I would tell you, no different than Naga mentioned in his script, the most important and I think impactful is the prioritization and the allocation of resources to those more attractive growth opportunities, and so that's what really came through the NBS Next portfolio analysis, and driving that focus in terms of a growth framework going forward.
Allison Poliniak: Great, thanks so much.
Sundaram Nagarajan: Thank you.
Operator: Your next question comes from the line of Matt Summerville with D.A. Davidson. Matt, your line is open.
Matt Summerville: Thanks. A couple questions, maybe just to follow up on the last point. This internal review process that led to this divestiture announcement. Have you fully concluded that at this point, and should we expect any additional portfolio shaping actions here in the more immediate term?
Sundaram Nagarajan: Yes, I -- Matt, thank you for your question. On NBS Next, portfolio analysis is a core part of NBS Next, which is really what we call strategic discipline, and it is based on product segmentation and customer segmentation. It is an ongoing process. So based on what we looked at today with our PPS business, our decision was this part of the business doesn't really fit the kind of long-term differentiation as well as the growth potential that we are looking to have in a business. So that's sort of what it is. But there are parts of our PPS business in this analysis, we figured out that it has some pretty strong differentiation characteristics, some technical advantages, which we believe will allow us to continue to grow this business with a Nordson-like profitability. So, for the rest of the businesses, this is an ongoing process. And there’s not so much about what you're not going to do; it is as much as what you're going to do more of, right. So, as you think about our businesses, each of our divisions are going through a portfolio analysis, and they figure out what are the best growth opportunities, where do we create the greatest value, how do we move in and focus disproportionately our resources and investments in that part of the company. So, it's an ongoing process, and hopefully that gives you some color.
Matt Summerville: Yes, thank you. And then as a follow-up, when you look at your implied organic guidance for the first quarter, probably flat to maybe down slightly because you'll have some FX tailwind and then some acquisition tailwind. Can you maybe talk about square that up a little bit with respect to your trailing order entry being up mid-single digits. And you mentioned some things maybe around the correlation with timing, et cetera. Can you maybe expand on that a little bit, Naga?
Joe Kelley: Yes, I guess let me expand on  maybe Naga, you can expand on the trend that you're seeing in the orders. But you are correct. I mean if you look at our Q1 guidance as it relates to the revenue, we assume there FX rates similar to what we had experienced in Q4. And so therefore, when you look at the Q1 guidance, the FX and the acquisition will be favorable to about the same degree they were in our Q4 performance, which to your point implies organic growth relatively flat on a year-over-year basis. Now, I'll point out now that organic growth of relatively flat is a significant improvement from the 7% decrease that we saw organically in Q4, and the 4% organic decrease in the full-year 2020. Also, I would add, if you look at what the revenue forecast implies for Q1 2021, not only is it up 2% to 3% over 2020 Q1, but it's also up over Q1 2019. So, said differently, from a run rate standpoint, we're starting out the year north of 2019 levels. And then one other comment I would make is in your observation, the 5% on the order entry and the 5% on the backlog. That 5% is calculated on a constant dollar basis. So that's really what's driving our optimism and our attitudes and our positive outlook as we enter Q1 2021. Now, that being said, you could clearly see there is a difference between timing and lead times in terms of shipments and order entry and backlog, and so that all has to be taken into consideration when we give the Q1 guidance, but when we look at that backlog and that order entry trend, that's what provides us that optimism heading into 2021. Hopefully -- 
Sundaram Nagarajan: Matt, what I would add to that is really that timing really depends on various different businesses, right. There are certain businesses, like our medical business, it's pretty much not a backlog kind of business; it's more a book and ship kind of business. But if you contrast that with an ICS business, that is more backlog-oriented. You get the order, then you have a large system that you have to put together. And then our aftermarket parts revenues are pretty much book and ship. And in our adhesive business is somewhere in between, it is more standard products that you're customizing or configuring to sell. So, depending on a business, depending on where it is there is a correlation of timing that we talk about.
Matt Summerville: Thank you, guys.
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc. Jeff, your line is open.
Jeff Hammond: Hey, good morning.
Sundaram Nagarajan: Good morning, Jeff.
Jeff Hammond: Maybe just give us a 5G update. We're seeing new phones get rolled out with 5G; just what are you seeing in terms of a CapEx cycle, and on the mobile side as well as 5G infrastructure?
Sundaram Nagarajan: Yes, let me talk about that broadly, Jeff. What we are seeing in the business is 5G related, but more broadly digital acceleration is really driving the electronic supply chain within our businesses. And most prominently where we are seeing this kind of activity in digital acceleration is in the semiconductor side of the business. So in the semicon business we're seeing some incredible, really nice demand patterns there that are emerging for our test and inspection business, and that is really what you're seeing the strength of. In terms of 5G, some of the semicon are related to 5G, but not entirely, right. This is really mostly because of a contact-free economy that is beginning to emerge, virtual conferences, virtual investor discussions, how you order your Christmas gifts, how you order your grocery. All of this is really an example of how this contact-free economy and digital acceleration that is really driving the growth of semiconductors. So you want to think about our electronic business not so much with the mobile revolution how we thought about our business then and within the last decade, where mobile revolution was really the biggest growth driver for us. But going forward, you want to think about our electronic business more in terms of digital acceleration, so that would mean two to three times GDP kind of growth over the long cycle. And on infrastructure it is still slow. We're continuing to get orders; we're continuing to work on those things. But it is not at the same rate as one -- you would expect. So, 5G in our mind is still an emerging opportunity.
Jeff Hammond: Okay. And then medical, you characterize as stable. And I guess I think this business is historically kind of a high single-digit, low double-digit grower, and maybe I'm just assuming stable means a little bit of growth. But I'm just trying to understand how you think the growth rate shapes up for medical and kind of these puts and takes around elective surgeries maybe coming back as we get vaccine distribution versus kind of comps from PPE equipment, et cetera?
Sundaram Nagarajan: Yes, so I think that's a great question, Jeff. In terms of our medical business there are really two parts to the medical business that sort of allow us to have flat to low single digits, but you got to remember the context. The context really is our med device customers are down 10%-15%, so that's the context. And so why are we doing better then in that context, it's really because we have a fluid component business which is really servicing the biopharma end market as well as fluid components for COVID-type therapies. So, what you're finding is our fluid component business is doing incredibly well, which is muting some of the declines we're seeing in our interventional component business which is directly correlated to the selective surgeries and elective surgeries. So, big picture, if you think about our elective selective surgery kind of related component business, this is down a little bit -- down a bit. In the long-term all of the drivers, the ageing population, single-use component, outsourcing of med device components, all of those are intact as spins normalize we will return to mid to high single-digit kind of growth for this business, and that's our expectation. And right now in this transition, if you think about elective surgeries, in July they were down about 75%, they were 75% of pre-COVID levels, elective surgeries were. And our expectation was they were going to improve, but they have not. So as these elective surgeries improve what you're going to find is that we will benefit from it, and we will return to our mid single-digit, high single-digits kind of growth in the medical business. So, let me stop there. If you have any follow-up I certainly would be happy to answer.
Jeff Hammond: No, that's great. Just maybe last one. I understand the uncertainty. Just give us a sense of what you need to see or I don't know if it's just a couple more quarters before you kind of flip to a more full-year kind of outlook. Thanks.
Sundaram Nagarajan: Yes. Joe, you want to take that?
Joe Kelley: Yes. Our hope is that our visibility will improve, or I should say, our confidence as it relates to the volatile time that we're in with the pandemic, you know, here in Q1 and Q2, and so, our hope is that by the time we have our Investor Day that Naga referenced, we'll resume annual guidance at that time.
Jeff Hammond: Okay, thanks so much everyone.
Joe Kelley: Thank you.
Operator: Your next question comes from the line of Andrew Buscaglia with Berenberg. Andrew, your line is open.
Andrew Buscaglia: Guys, I wanted to ask on dig a little deeper in that Electronics component within ATS. So there's a lot of -- last year there's a lot of optimism growing into 2020. And obviously, there's a lot of things you had to navigate dealing with trade and then the pandemic. So I guess into this year, I guess how do you view things on a relative basis versus historical cycles for that segment, and so as the year progresses, I guess what are some of the times, we should be on board, see how that business shapes up?
Sundaram Nagarajan: Yes, Andrew, thank you. The electronics business, what has happened with our electronics business is something that we've been talking about for a while, if you think about historical go back a decade ago, over the last decade, Nordson benefited by this incredible mobile revolution, where you went from 30 million phones to about 1.5 billion phones worldwide. It was an incredible time of change, incredible amount of things changing in the mobile technology, Nordson played contributed incredible technology and value to our customers benefited from it and that's what we saw. As you think about the next decade, and that's sort of what we are in right now, that mobile revolution is at once in a lifetime kind of event and what you're going to see is a much more normal kind of growth, still pretty strong growth, two to three times GDP. And so, the way we plan and think about our business is, we think about two to three times growth across the Electronics supply chain, not just mobile, but really, in our view, as we work with our customers and what we see in our businesses, what we find the greater drivers are digital acceleration. In virtual conferences, virtual way of doing business, virtual way of buying grocery, virtual way of ordering Christmas gifts, many different ways you think about it, this virtual economy, this contact economies continue to grow, which is leading to digital acceleration on infrastructure in capabilities. Certainly, all of this adds to supply improvement and order trends that are across the supply chain. And Nordson has done a really nice job over the last decade to diversify from just one particular product category to multiple semiconductors, components and products PCB, so we're diversified across electronics supply chain, and so we'll benefit from that, and we diversified into test and inspection. And so, what you really see is this digital acceleration, all of this leading to complex devices, complex components, leading to 100% inspection, inline inspection in some cases, all leading to our test and inspection business doing really well. So, our expectation is two to three times. And it is a different kind of growth, when compared to what you experienced in the last decade.
Andrew Buscaglia: Yes, okay. With this NBS Next, using data to kind of understand your business a bit better, you've obviously found that that's been in there, but what about -- is this influencing any change  adjacent some segment that you'd like to be in or is the focus going to remain on test and inspection and medical?
Sundaram Nagarajan: So as you think about it, we didn't talk about this when we clarify it, our focus is going to be on test and inspection and medical, but really that is what was behind. At that time, we did not publicly talk about NBS Next because we were still in the process of building it, but really what drove our focus is focus on test and inspection and medical is really a concerted view inside the company on how the portfolio was, and where was the greatest growth opportunities or the most differentiated parts of the company, which have the greatest growth potential is sort of what it led us to this focus around testing, inspection and medical. We have  looking for new market spaces that have characteristics that are very similar to Nordson, do we like the company  potentially, what is the level of differentiation? So should we ever run out of ideas? We don't rule out the opportunity to expand into a newer space should that need to happen.
Andrew Buscaglia: Okay. Thanks, Naga.
Sundaram Nagarajan: Thank you, Andrew. I appreciate the question.
Operator: Your next question comes from the line of Saree Boroditsky with Jefferies. Saree, Your line is open.
Saree Boroditsky: Thank you, and good morning.
Sundaram Nagarajan: Good morning, Saree.
Saree Boroditsky: How does the MDS next portfolio analysis. Was there any businesses or product lines that you found were being underfunded that you want to focus on growing organically going forward?
Sundaram Nagarajan: I think that's a great question. That is one of the things that we are really laser focused on is, this decision also -- there are two ways to think about this. One, it's a consistent, disciplined way of looking at opportunities in the company, but more importantly, that analysis and that decision making now happens at our division level. At the company level, it is great to understand where you want to be, but it is even more powerful when you look at the businesses and you look at some segments within the business where the greatest opportunities are. And as our division leaders have set their strategic goals priorities, what we're finding is that our leaders are making those decisions. The company has done a really nice job of staying invested in customer passion and staying invested in innovation. So I wouldn't say there is a complete switch, but are we discovering opportunities? Yes. And I think I am more excited about the fact that now these decisions are made much closer to the customer, much closer to action and knowledge. And I think that's probably the shift that we're making.
Saree Boroditsky: Thank you. And then lastly, as we think about the backdrop for industrial spending next year, what are you hearing from customers as far as appetite for capital spending?
Sundaram Nagarajan: As we talked a little bit about how the industrial business remains challenged, but we're starting to - from the middle of the year to now sequentially the orders that continued to improve and continue to grow. And we see some of that in our industrial businesses. So as we think about it, remains of dynamic environment, but our expectations are that it is trending up, and we expect some recovery in the first quarter.
Saree Boroditsky: Great. Thanks so much for answering my question.
Joe Kelley: So I would just add your comment on the MDS. Next, if you look at our SG&A, we did take several actions during the back half particularly of 2020 to lower our structural costs. That said those actions were very strategic, focused on business as identified in areas, identified through the MDS next framework. At the same time, it also allowed us areas where we wanted the best, as Naga mentioned. So, if you look at our product development costs on the full-year in the quarter, it was actually flat for the full-year, up in the quarter. So there are areas where we continue to invest, and there are areas where we are taking strategic I would say structural cost reduction actions.
Saree Boroditsky: Thank you.
Operator: Your next question comes from the line of Mike Halloran with Baird. Mike, your line is open.
Mike Halloran: Good morning.
Sundaram Nagarajan: Good morning.
Mike Halloran: Some thoughts on the margin profiles as you worked through fiscal '21. You could just help us and put and takes. How are you thinking about incremental margins with some new structural cost improvement initiatives, can provide as a tailwind mix, any other puts and takes when you think about obviously the divestitures coming up that'll help with the mix, but beyond that, how should we think about some of the key buckets in the fiscal '21?
Sundaram Nagarajan: Okay. Mike, I think in general, let me give you a broad -- broadly how we think of that business. And then, Joe can walk you through the puts and takes and all of that, right? So, in general, the expectation for us is that as our revenues grow, our expectation on incremental should be north of 45%. That's sort of how we are thinking about it in the business. So, it then allows us with the 54% growth  an ability to invest back in the business to continue to grow. So with that, why don't I get Joe to talk to you about the details of the various puts and takes?
Joe Kelley: Yes. When you think about the incremental margins, I mean our guidance here in Q1 I think are high incremental margins sequentially and our stay on year-over-year basis because that is where you are seeing the benefits of some of those structural cost reduction actions in the Q1 numbers, but I will go back to Q4 and I'd just point out, I mean quite please with IPS, 30% OP as a percent of sales. And that was nice sequential incremental margins there when we look at it compared to Q3. And so it just -- it highlights that that particular business when some modest growth can really drop some nice incremental margins north of 50%. And so, that 30% is back to the Q4 2019 levels, but also even to at Q2, Q3 back in '19 when that business is north of $300 million doing 29 - 30% margins is something it can do. So, it's nice to see that bounce back from the Q3 which was a little bit depressed. Some of those of items, we view it as temporary. And it is nice to see that they were temporary in nature.
Mike Halloran: And then on the capital deployment side on the external, obviously internal is the priority, but what does the acquisition side look like? How are you thinking about buybacks, anything like that? And what the prioritization looks like in '21 as well as what the opportunity side how realistic would be to move the needle on the acquisition side?
Joe Kelley: Yes. So from a priority standpoint as you mentioned, organic generally generates best return at the lowest risk. And so, we continue to organically invest in business. That being said, it's relatively capital light and doesn't demand a lot from our free cash -- of our cash flow from operations which are quite strong. And so, we are committed dividend payer as you know and dividend increaser. We would like to do share buybacks to offset dilution, but beyond that we are really focused on the acquisition side. And, it's been a challenging 2020 and the M&A market. That being said, quite pleased that we are able to make progress with the Fluortek, with vivaMOS and then the announced divesture as well. I will tell you that we are no different than the factories who are learning how to operate and produce products safely in this environment. The M&A community is also figuring out how to do deals in this environment. And so, the market for M&A I would tell you is improving. And so, we do remain active. We are very strategically focused based on the NBS Next framework that Naga has reviewed with you and where our growth opportunities are. So, we are actively I would say -- Mike, actively working to deploy capital through the acquisitions. And the pipeline is growing as I would characterize it.
Mike Halloran: Appreciate the time and the color. Thank you.
Joe Kelley: Thank you, Mike.
Operator: Your next question comes from the line of Christopher Glynn with Oppenheimer. Christopher, your line is open.
Christopher Glynn: Thanks. Good morning. I had a question about the -- just want to kind of go through high level, revisited the T&I momentum and review the compounding dynamics you have there. I am really curious about what you are driving in terms of succession pattern of new capabilities versus adoption of the iterations -- the technology iterations you have introduced over the past year plus, and how those two factors converge towards this idea of 100% online testing capabilities.
Sundaram Nagarajan: Yes. And I think it's a great question, Chris. And it's an area that we are doing a lot of work in. And it is an area that has a lot of promise for the company. Just sort of step back a bit, if you think about our test and inspection business today, it has two major -- maybe three major product technologies. First is x-ray inspection. Second one is acoustic imaging. Third one is mechanical testing, where we do some wire bond testing. We do optical inspection as well, but it is a smaller part of the company. So, major product lines really be are X-ray imaging, think about acoustic imaging and then think about mechanical testing. We fundamentally believe that the acoustic imaging and x-ray imaging are going to continue to grow for us, as these devices get more complex, and a couple of applications. So if you take a little bit one more step deeper into the product application. So if you think about a complex semiconductor package that is being manufactured. In the past, they were sampled, and you ensured that the manufacturing process was stable and the product quality was really good, but as these devices get a lot more complex, now you're really interested in, because these devices now have greater functionality, the risk of failure and the potentially impact on the customer's experience is so high that these semiconductor packages are now getting inspected 100%. So that's sort of a need. In terms of what is it that customers are looking for, the customers that are really looking for not only whether the bonds were made, but there is more looking for all the things that they need? Is it in there? Is it in the right side? So, now all of a sudden 3D metrology with extra inspection becomes a lot more greater and real and online rather than what was a good feature to have. So as it translates to the company what it really needs is do we have the resolution, which we've always been really good at, do we have the speed, and do we have the lowest signal noise level, right? So those three things really don't matter. As you think about the new acquisition, we made it as a technology acquisition CMOS sensor, image sensor, and it provides all of those things, it provides a unique combination of higher speed, higher resolution and lower noise. And so as we build out our inspection capability, you'll then have to find those ad technologies that allow us to help our customers inspect things more in real time and at a faster rate, higher resolution, no work lower noise level. And we're going to add capability that allows us to do more 3D metrology than we have done in the past. So that's another one that's coming about. And I would say the third is today our business is very focused on electronics. We do - and we're beginning early stages of diversifying that exposure into adjacent end markets. And this vivaMOS acquisition allows us to now think about, is it possible for us to become a component supplier. It allows us to sell our image sensors, and allows us to sell our tubes into end markets to other OEMs, in end markets that we don't have a right to play in, but we have a right to be a component supplier because we have the best resolution in the market. We have the best lowest noise level on the market. We have highest speed. So it's an exciting time in the test and inspection business. It's an area where we will continue to invest in. One that we did not talk about is some early days here is this defect classification is another big thing, right. I talked to you about image speed low noise, but also defect classification that's important because that allows our customers again to identify whether it's a good chip package or a bad chip package. So a lot of details there, but hopefully that gives you how we're thinking about the business, where this had it. It clearly has some good opportunities for organic growth, and opportunities for us to acquire. Again, we'll be really thoughtful as always what we acquire, how we acquire, it, wasn't a discipline around acquiring things that sake, we're not going to acquire undifferentiated, commoditized products interested in selection, we're going to be very focused around what makes Nordson strong, which is position technologies, customer intimacy, really customer critical applications and how we add value and create value. And so that's where we're going to be focused on.
Christopher Glynn: That's great detail and great bang for the buck on the question. Thanks. Just a little housekeeping to close-up, D&A and bias on working capital through the cash flow statement for fiscal '21, any comment there, Joe?
Joe Kelley: Yes, so quite pleased with our progress on working capital liquidation there in 2020, particularly the strength in Q4, we improved I would say our efficiency around the AR side. And so when you look at the cash flow statement, you'll see it was on the AR and it's not just selling 3% or 5% less than we did in Q4, I should say. It was really improving the DSI, as we implement NBS Next and see that rollout, I think going forward, there's an opportunity on the inventory side. So really anxious as we go into 2021 is to continue to focus on the cash flow, and do feel that there's some opportunities from an inventory efficiency side there.
Christopher Glynn: Thanks. Do you have a D&A figure for fiscal '21?
Joe Kelley: D&A, I don't have a figure yet, it's going to depend on the timing of this , or I should say, the screw and barrel divestiture.
Christopher Glynn: Okay, thanks.
Joe Kelley: Yes.
Operator: Your final question comes from the line of Chris Dankert with Longbow Research. Chris, your line is open.
Chris Dankert: Hey, good morning, thanks for fitting me in here. Ran over this quickly, but just want to make sure I'm understanding the dynamic when we're looking at the ATS business specifically, as you characterize Medical stable, Test & Inspection up double-digits, high singles, that really does kind of give the sense that that Dispense was extremely weak in the quarter kind of despite some of the other strength going on in PCBs and Semi's. Am I thinking about that, right, and I guess, just what was the key driver of the weakness in the quarter on that core dispense business and advanced technology?
Sundaram Nagarajan: Yes, I think it's a good question, Chris. Our dispense business as you think about it, we've benefited in the last decade from this mobile revolution, this incredible investment on mobile revolution. We're benefiting from some projects that are related to semiconductor in that business, certainly benefiting from some projects in some newer features, but not to the same extent as we've benefited in the past. So, you had a competition there for that business that we're working our way through. In general, our expectation for that business is as this competitions get worked out, what you're going to find is going to be a nice 2% to 3% grower, isn't going to be the same kind of grower that it was, but the company was very thoughtful in diversifying into Test & Inspection and so Test & Inspection all of a sudden is a really nice growth engine for us in the semiconductor side, and we'll benefit from it. And hopefully, that gives you how we're thinking about it internally.
Chris Dankert: That's fair. That's fair. Thanks, Naga. And then I guess, just lastly from me, when we look back at the other half the business, dispensing I guess the coatings business versus hot melt something that coatings is down pretty substantially even really driving though the weakness in the fourth quarter here in hot melt was much more stable. Is that correct again, just kind of thoughts going forward?
Sundaram Nagarajan: Yes, yes, I think but you want to remember our coatings business was one of those businesses that had order substantial amount of orders slipped from third quarter of '19 to fourth quarter of '19. So if you think about fourth quarter by itself, yes the coatings business had a significant headwind, but if you look at it from second half perspective for the coatings business was about mid-teens still pretty high and was essentially one of the things. So there is a comp issue and there is an industrial exposure issue. And you're right about to being in a much better place. Joe, do you want to add some color to it?
Joe Kelley: Yes, I'll just add one thing, two questions there, the fluid dispense within ATS and then the ICS business within IPS -- sorry, sequentially we are seeing some nice improvements there. Those are the businesses that have the heavier industrial exposure. And so, when you talk about Naga's comments as we went through the back half of '20, we saw that steady improvement in order rate. So while it's down year-over-year, from a trend standpoint those businesses are seeing some improvements sequentially.
Chris Dankert: Got it. That's all very helpful color. Thanks so much guys. And best of luck in the '21 here.
Sundaram Nagarajan: Thank you, Chris.
Operator: This concludes our question-and-answer session. I will turn the call back over to Naga for closing remarks.
Sundaram Nagarajan: All right. Thank you for your time and attention on today's call. We are well-positioned going into fiscal 2021. We remain focused on our long-term objective of making a strong Nordson even stronger as we deploy NBS Next growth framework to prioritize organic and acquisitive growth opportunities while also unleashing an owner mindset within our customer-focused divisions. We wish you a happy holiday season. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.